Reynaldo Passanezi Filho:  Considering our strategic planning with a sound results consistent results, which show the resilience of the company. We have some initial highlights. Let's turn to the first slide of our presentation. And the first one that we would like to comment is on EBITDA and net profit, our EBITDA reached R$6.3 billion in the first nine months of the year, up 53%, very robust growth and net profit was R$2.8 billion, 75% higher to the same period – compared to the same period of 2020. We later will see the adjusted figures then they always show very consistent results of a company that effectively is already in a new trajectory in terms of operating results and profitability, as well as growth. Here we'll probably be able to announce the highest EBITDA in this company's history still this year if everything goes as planned and despite of having loss to plants, we'll be able to recover and have the higher EBITDA of this company ever. This is a huge explanation for this result. And they mainly come from our efforts for better operating efficiency and also better performances. So for Cemig distribution, we are within our regulatory OpEx, and also within our regulatory EBITDA, which is an amazing achievement and this is that the first time that we find ourselves within the regulatory level for EBITDA we expected to close the year at that level, our OpEx is at R$279 million below the regulatory level. This is a very important trajectory of adjustment in the company. It was above the regulatory level, not long ago. And our EBITDA also is above our regulatory level and it was 85% of the regulatory level few years ago. So this proves great efforts in terms of aiming for efficiency. And in case of the EBITDA, we'll also look at this at the explanation here that is thanks to OpEx that is lower than the regulatory and also losses that are very close to the regulatory ones and of course we haven't been improving our loss indicators as well. We also have the best rating of the company's history. Fitch and Standard & Poor's, we already have AA+ as our rating. So this is the best for this company ever since 2008. We were able to improve in five ratings, in five levels of ratings. This is a spectacular result as well. And we also have the best quality indicators of the company's history. Here we mentioned DEC, but also we have FECs. Our DECs is up 9.46 hours below the Aneel limit. And that is the best DEC of the company's history. Two other important highlights in the page. As I mentioned, we are transferring trading, contracts Cemig Holdings. I believe that will allow us to have a more transparent balance sheet with separate trading activity, where the company is a leader in that area, in the trading area. And so this way we'll be able to show also that we have consistent results and the trading business and GSF also regarding some subsidiaries that did not have that posting and we had a result from the renegotiation of the GSF of R$308 million. So I wanted to highlight the consistency of the results and our records – quality records with the DEC and FEC at the best levels of all-time records in terms of operating efficiency and also ratings – risk ratings and also consolidated results as you can see EBITDA and net profits. And on the next page, also following our strategic plan, we are announcing the sale of our stakes in Renova fully in line with our strategic planning. And we have been able to do what was a challenge since 2017. Renova – we have Renova in Cemig's divestment of plan since 2017. You always have been following up our trajectory. This is a company that's started in the process of bankruptcy protection. We were able to approve that bankruptcy protection plan and also loans, so that works could resume. And we were able to place this company in a restructuring trajectory, as well as the sustainability. Therefore, we were able to conclude our participation now with announcing its sale to Angra Partners in the amount of R$60 million, and also the earn out subjected to future events that just comes to confirm our commitment and – which is to focus in Minas Gerais and to win. So, our strategic plan really aims to bring Cemig back to its core business, transmission, distribution, and generation in the State of Minas Gerais. This is our investment plan, R$22.5 billion for the next five years. And focusing in Minas Gerais and this state also involves not focusing in the strategic assets out of Minas Gerais. Just like Renova this is an example, just like we divested from Light and Renova is very important for us. We really wanted to eliminate any risks regarding possible liability in Renova that could be under Cemig's responsibility. So we end this chapter and we now concentrate ourselves and our efforts investing in Minas Gerais changing of Minas Gerais people's lives with our own energy. So these were my initial remarks. And now I turn the floor to Leonardo.
Leonardo George de Magalhaes: Great, Reynaldo. Thank you very much. Good afternoon, everyone. Thank you very much for being with us in this conference call. On the next slide we'll be talking about our investment program execution. It is a variable one almost R$3 billion, and you all know the difficulties that we are having with material acquisition, not only energy companies, but also other manufacturing companies, auto because of the high exchange rate and mismatch and unbalance between supply and demand. So, in the first half of the year, we did have problems. Purchasing material, we see that it's improving. In the third quarter, we were able to have an execution of our investment program that was much better. We believe the fourth quarter will be even better, but really, we reached the R$2.9 million, but it is a challenge. And we believe that we will not be able to reach at the R$2.9 million, but we'll do everything that we can to get close to the figure. And then you weigh 2022, it's a very important year, especially for the distributing company, because last year before the tariff review, we also have a bold investment program for next year. And remember that these investments that we make up to next year will be part of the remuneration base. So, we'll be very focused on investing and being able to do that those investments in this fourth quarter of 2021 and in 2022, so that it can also be into the tariff review. And adding to that, we have investments in transmission, and generation and especially in renewable. And we expect that in the next quarter we can bring you good news about these other investments that we are forecasting for generation. And here we have a few highlights about our investment program. We have very relevant programs. There is one that's called the Mais Energia or More Energy. We will be installing 200 new substations reaching 615 substations up to 2027. So, these are investments to increasing 50% our substations in the state. We understand that this is a very cautious investment of R$5 billion up to 2027. It will allow the industry to grow and also to be better connected. We know that the State of Minas Gerais has the best conditions for distributor generation. And we understand that with these new substations, we will allow this growth. And the renewable energy is a clean energy that's important for the State of Minas Gerais and Cemig also believes that this R$5 billion will be integrated in their remuneration pace, because they are very cautious investments. And we have another program the Minas three-phase program. It has a single phase and is turning networks from single phase to three-phase. And that's very important for the agribusiness because you offer energy to small growers, therefore they can transform, they can switch their businesses from a subsistence agriculture to something that can generate more value. So, we are going to help families to have a better life, we are going to help the states to grow and also these investments will be remunerated in our remuneration asset base and we believe this is a virtual cycle of the company. These investments help the states to develop itself. And at the same time, they are important to generate revenue for the company. Now, in terms of the market recognition Cemig once again got the award, Transparency, that is awarded for companies that provide transparency in their information about the company. And also, we got the 2021 Abradee Awards. We were ranked the second in the category, Evolution and Performance. That shows the recognition and the factor of this improvement in performance. And this is being recognized within Abradee. In the next slide Reynaldo already mentioned, we have our best ratings, in history. Fitch just improved our rating. Standard & Poors improves have done that already. And Moody’s we are always talking to them about our ratings. We always expect to be improving Moody’s ratings as well. But we have a better position in Fitch and S&P. And we see that, if we compare that to 2018, we did have an improvement in terms of the level of confidence of these rating agencies, five notches at Fitch; and Moody’s five notches as well; and we expect that even high. And in the global international level at Fitch, we are already at the same risk level as the Brazil risk, the sovereign risk. So, we understand that the best rating of the company is the recognition of these rating agencies of all our financial management here in the company. And we could also the talk about our quality indicators and they maintain an improvement trajectory. Our DEC is 9.46 in the 12 months. It is at a comfortable position. And our FEC is basically 30% below the regulatory target. And it shows that the investments that the company is doing in better management is providing a better quality of energy we provide to our consumers. Vélez is going to comment more on that. But once again, this is a virtual cycle not only the results are better, but also the service providing of the company for clients and consumers. And the next slide fighting delinquency. We reached our collection index of 98.55%. That is the percentage of collection vis-à-vis the revenue or the build clients. Like I said, 98.55% there was a reduction in our AFDA and these results are thanks to many actions that we are taking, we increased our collections. Also, we had a larger number of disconnections. We invested more in disconnections, but also created conditions so that our customers, especially now in the pandemic, could pay their bills with the company. So, we are allowing them to pay in an easier fashion using fixed direct transfer, or using credit cards, paying installments and these are important measures so that our customers can pay their bills. And something else that is new and we believe that is very important in this quarter is that we have a commitment since last year, we are saying that we are committed to having our losses at the regulatory level. It was higher than the regulatory level in 2018. Like this was like we were at 12.49% vis-à-vis 11.22% of maximum limit of regulatory losses covered by the tariffs. So, we were more than 1% above. And in September of 2021 the losses, total losses are 3% higher than the regulatory one in the Convergence Movement. And we expect our losses are below the regulatory limit. We are optimistic. We are taking several measures in the company to bring down this loss, and we understand this trajectory will follow on in this fourth quarter and also in 2022. So we believe this is good news again. And that's another commitment that we have with market at our investors. And we believe that we are on the right track. And that's what we have been doing in the last three quarters. And let's talk about the results of the third quarter now. And for that, I will turn the floor to Velez.
Antonio Carlos Velez Braga: Thank you very much, Leonardo. So let's just start now, the financial results, on the Slide 14, we have our main effects, which explain the results of the third quarter as already mentioned. And I would like to highlight once again, we are starting the contract transference of energy purchase and sale from CEMIG GT to CEMIG Holding. And the idea here is to separate the trading business from CEMIG GT and to place it in under the Holding. This will allow us to have greater visibility of our trading business. And already in this quarter, we had an EBITDA transfer of R$125 million from CEMIG GT to Holding and the consolidated results, this is a null effect, but we will see that impact reducing CEMIG GT EBITDA and turning that into Holding. For CEMIG Distribution, we had a growth and we still have a robust growth of distributed energy of 4.3% and the captive market it was 1.2% higher. We had other results here that I'll talk more about them. But for transport for clients had a strong growth, 7.9% and as we will see in this quarter, growth was thanks to the commercial area, but industrial was also growing well. And CEMIG GT, as our CEO mentioned, both OpEx as well EBITDA for the company, they are at the levels that are higher than the regulatory one for CEMIG GT, we had the renegotiation of hydrological risk of some of our assets, R$122 millions and also other invests in the amount of R$308 million. And remember that Eurobond buyback of $500 million that we performed in the beginning in of the third quarter. And we did mention that on our second quarter earnings call posted. So we bought back those bonds but in addition to that, we also have a premium payment of R$491 million, which we already mentioned in the prior call. Now on the Slide 15, we have the results, the consolidated results here for the last nine months up to September, our EBITDA increased in 53.6% when adjusted by non-recurring effect. We have an EBITDA growth of over 19%, even in the adjusted result, this is a robust growth, 19% reaching in the last nine months of R$4.441 billion. Our IFRS EBITDA as our CEO mentioned is of R$6.345 billion. And it is by itself, the highest EBITDA of the company ever. And I believe that that result will be repeated in December. And our profit is up to 75%, the accounting and with the adjustment, it is up 6.7% reaching R$1.860 billion. It's important to mention here that in terms of dividends, it is on the accounting results in that in the first nine months is R$2.790 billion. In the next slide talking about the consolidated results, only in the third quarter our EBITDA reached $1.910 billion, up 29%. And the recurring EBITDA was $1.469 billion. And it was up 6.4%. Now profit was down, accounting net profit, it was down 27%, but when we adjust at nonrecurring events the reduction was 2.8%. And the main event affecting net profit here is the Eurobond buyback and the premium, which was paid in this buyback. And now talking about CEMIG GT results, it reached an EBITDA of R$799 million or 35%. And remember we have the effects of the renegotiation of hydrological risk and we adjust that it was down 37%. And remember we transferred R$125 million in the third quarter of trading margin to our Holding company. So if we were to consider these R$125 million here, our EBITDA would be very close to the EBITDA of the third quarter of 2020. And remember that in 2021, it has – we have seen a very challenging hydrological situation, which is affecting hydraulic generators in a significant fashion. So here we show that our strategy of hedge and energy trading is very well succeeded. For net profit, we went from a positive net profit to third quarter of 2020 of R$37 million to a loss of R$210 million for CEMIG GT. And remember that the bond is issued under CEMIG GT, so here we have the impact, but when we make the adjustments, considering the margin migration and everything else, we had a reduction of 82%. Now it's starting the analysis of CEMIG Distribution on the Slide 18. We have the market, the volume of energy. And as I had mentioned that the distributed energy volume in four CEMIG Distribution area grew 4.3%, in a way that transport was up 7.9%, our TUSD and supply or the sale of energy for, and consumers was up 1.2%. Now, breaking down by consumption classes, we see that the higher growth is from the commercial area with the growth of 7.7%, but our industrial class, which is the most relevant of all that represents basically half of all distributed energy in the concession area also has a strong growth of 4.9%. Residential is another relevant area for us. It’s up 4%. It’s important to highlight the representativeness of distributor generation in our concession area. The energy injected for distributed generation in 2021 was 512 and the third quarter of 2021, it was 512 gigawatts hour up 87% when compared to the third quarter of 2020, that is very relevant. And that represents today 4.2% of the total energy market in the concession area. So undoubtedly this is the best activity of a distributed generation in any concession area in the country. So this is a situation that we are analyzing because growth of distributed generation is very high in our concession area. Now on Page 19, we have EBITDA and net profit for Cemig Distribution and accounting terms we’re down 10% in our EBITDA reaching R$722 million, but when we just by non-recurring events, and that is a reversal that we had in 2020 of a provision of an ADA in Minas Gerais State, this was a negotiation that we had with the State of Minas Gerais in the past. So when we make this adjustment, we see a recurring growth of 24%. Net profit also have a similar dynamics in the accounting result is down 12%, R$400 million, and a recurring growth of 28.5% with a recurring net profit of R$393 million. Turning to Slide 20. Operating costs and expenses, we had a significant increase because of energy purchase and we know that this is because of the hydrological situation, and that does not affect the distributing company results. We have – we do have the cash that has been tackled by the flag and we have a robust cash. So we don’t have reason to concern the PMSO, which really affects our result and that’s under our management was up 1.2% way below the inflation. It is not significant. And the levels that affected, we see that we had several initiatives here to have voluntary redundancy programs every year. So we have employees that are close to retirement age and they haven’t sent us to retire. And when they are replaced, they’re replaced to younger employees with lower salaries. We also have a reduction in the profit sharing program for this year, because of our negotiation. And what actually increased was third-party services R$52 million, but that was basically because of the increase of disconnections in the third quarter of 2020, because we had 348,000 disconnections in the third quarter of 2021 of vis-à-vis 150,000 disconnections in the same period of 2020. This is an additional expense, but that explains that great performance in delinquency reduction and also in our collection indicator. On Slide 21, we have the comparison of our OpEx and EBITDA with a regulatory in the nine months of 2021, the regulatory OpEx was up R$2.411 billion and the realized OpEx was R$2.132 billion, R$279 million below the regulatory OpEx. So this is the best level and the comparison of the OpEx comparison here in the company. We have a small chart showing you here that for instance in 2018, the realized OpEx was 5% higher than the regulatory. And now the realized OpEx is basically 12% below the regulatory OpEx. So this is the best level that we have reached. And then in the other years also – we also had higher amounts. Now EBITDA, the regulatory EBITDA was up R$1.792 billion in the first nine months of the year, and ours was a little bit over R$2 billion, that is R$267 million higher than the regulatory EBITDA. So this is an all time record for the company as well. And basically that is thanks to our OpEx, a better OPEX, and also other revenues, which were higher than what we have today considering the tariff and losses also that are at very low levels in the recent history of the company. R$67 million in the first nine months. And as we already mentioned, our losses are in a downward trend and compliance with the regulatory levels and we expect to reach losses lower than the regulatory level for next year. Our debt profile in the Slide number 22, we have ended the quarter with a robust cash of R$3.855 billion. We do not have a relevant maturities in 2021, 2022, 2023. These maturities can be paid with a cash generation of the company in 2024. We have the bonds maturity and now a little bit lower. It was $1.5 billion. And now it’s $1 billion, but it’s a little bit lower even then our debt profile and our maturity table is very comfortable right now. In terms of cost of debt, because of the increase in the interest rate. And because we – our debts are linked to CDI and also our debt – the dollar denominated debt, the cost of interest has a swap to CDI. So there was an increase – the increase in the interest rate is also affecting and increasing our cost of debt. But we don’t see that as a major problem, because this was the indexer chose at the time, in terms of the indexers, the main indexers, the dollar is still relevant with 49% of our total debt, IPCA is 37% and CDI 14% of our debt. As far as leverage is concerned, we are at a very comfortable level. In the third quarter of 2021, we reached 1.11 total net debt over adjusted EBITDA very comfortable level and our leverage in terms of net debt over equity plus net debt is of 23%. That’s a very comfortable indicator. On Slide 23, we have our consolidated cash flow. So it’s very interesting to see that we were at the end of 2020 with cash of R$5.8 billion at the end of the third quarter, we have cash of R$3.8 billion, but we have here the breakdown, the cash generation of R$4.9 billion, CVA of R$1.9 billion and settlement of financial instruments. It’s important to mention here, the payment of the bond with the premium has generated R$4.3 billion. We also have in here, the sale of light R$1.3 billion and our CapEx. But it’s interesting to see here that if it were not by CVA R$1.9 billion, even after buying back the bonds and everything that we have done, our cash would be at the same level as we were at the end of last year. So this shows – this proves how sound and how good our assets, our management, and also our – how good is our capacity to generate cash for the company. And now for the management’s priorities, I will turn the floor back to Leonardo. And he’s going to tell you what we have been doing.
Leonardo George de Magalhaes: Well, trying to be very transparent here since last year, everything that we are working a on and also in Cemig Day, that’s when we have a greater opportunity to discuss our strategic planning, our goals for the mid and the long-term. And our routine, our continuous improvement process, we have initiative that we understand that are important and relevant to take Cemig to another level. Many of them have been achieved, as you can see in this slide. We believe that achieving some of these results will improve our results, the rating EBITDA. And you understand that that – thanks to these actions that we are having better results, some of them are partially achieved as you see here and that’s because they depend upon approvals of regulating agencies and so on. That’s why they are here defined as partially achieved, but we understand that the most part of the process to fulfill these initiatives are already there. And we have other initiatives that are in progress, and we are working on that investing in renewable generation sources. For instance, we expect that we have good news in the next quarter to bring to you non-technical office. It could be also partially achieved here, because we are already very close to the regulatory level. And we understand that in the next quarter, or maybe in the first quarter of 2022, we’ll be at the regulatory level, restructuring the benefit plans here. We started just this week to try to restructure these retirement benefit plans. We have sent a letter to our pension fund, requesting them to have analysis. So that we can create a new benefits plan, so that we can remove bacterial risk of the company, and also to look for mediation measures in our labor courts, so that we can improve our healthcare insurance plan. So this way, we can work better, have better results. We understand all of these are complex measures. We are analyzing all alternatives. And this week we already started working on all these topics. I believe this was a very productive week in terms of starting a process of restructuring all these plans, digital transformation for that IBM is working with us. We have a partnership with them. We are changing our relationship with our customers. We are already ripping the fruits here and also the growth in electric retail, electricity sales. We have great expertise here in the retail area and it’s under our radar. And once again, in just in this quarter, we already started having shedding more light to our trading business, because we know it improves value and being separated in the holding. It will be easier to show how much value this area is generating to the company. It’s bringing the company. And I think it’s going to allow us to go for its fair value. So these are the highlights about the third quarter, and now we have some time to take your questions. We will be available for this next step.
Operator: Thank you very much. We’ll now start the Q&A session. Questions may be asked via audio just by clicking on the icon raise the hand on the bottom part of your screen. Then a request to open your microphone will come up and you should unmute your microphone. When you raise your hand, please add the name of your company to your name. Now, questions in English will be answered just by text. Please wait while we collect the questions.
Unidentified Analyst: Good afternoon. I have two questions. First, can you talk about the potential of tax credit and Renova transaction? How much – how would be the process and how much would it involve considering the hydrological scenario that we have now. Can you talk about your expectation for GSF for 2022 and impacts on tariffs? Thank you.
Reynaldo Passanezi Filho: Thank you very much for your questions. About the first one about tax credits, we understand that as I mentioned, we still have some conditions to be met and it will take a few months. But after the conclusion of the process or at the conclusion of the process, we understand that we will have tax credit regarding investments in light and also receivables that we are transferring against the R$60 million that would be estimated R$500 million that we could have in terms of tax credit. But right now at the moment of the transaction, that would affect favorably our financial statements when it is posted Renova now has a zero amount in the balance sheet of the company. So when this transaction goes through the R$60 million also would represent an increase in our results. Thanks to this operation. So this operation has an upside regarding the sale for the tax credit that we mentioned today, they would be close to R$500 million. And also regarding an earn-out an additional amounts that we will also depend on future events. We understand that this operation needs to be taken – it needs to take into consideration all these topics. In terms of impact and the energy price, Dimas might comment, he’s our Commercialization Officer.
Dimas Costa: Well, I apologize. You just would like me to comment on that.
Reynaldo Passanezi Filho: Yes, what is the impact of energy price in the short and the midterm and our GSF expectation for 2022?
Dimas Costa: Well, we are starting a recovery of the reservoirs now, and we already are seeing prices for next week close to R$70. So there is a detachment from reality because the reservoirs are just starting to recover, we will still going into the rainy season. And I don't know if that's going to be very good because we have  allows a lot of rainfall in the Northeast, but not much in the south. But October was a good month. So this is the model that is a mathematical model that we have. And the fact that it is raining and we have that heritage from the HPPs model. So I think we have a generation of R$2,000 importing energy from Argentina, maybe for 1,700. But when we have this type of system, there is lack of control. Our spot price was very high, might be very minimum by December, but the trend for next year is to have that stabilized because we will have a rainy season. We are not going to recover everything, but there is determination from – to not put too much pressure into reservoir. So we are going to have TPP generation next year, maybe not in these expensive fuse of R$2000, but maybe R$600 and R$700 we'll have that. So we do believe that our spot price will be civilized in around R$200 – from R$180 to R$200. What else can I tell you? GSF, I'm sure that it will be low because when you have TPP and you have to rebuild the reservoir, it's going to be low. Even if it rains, we have a determination of having some reservoirs holding that water. And when that happens, we have TPP, which is more expensive covering for HVPs. So GSF we believe will come down. So we believe GSF will be close to 0.7 next year. And Cemig already organized it’s balance sheet for a hydrological risk for next year, even with a more conservative approach of 0.6 GSF. So we already provisioned for that. The distributing company has an over contracting, and if we have that spot price close to R$200, that should balance it out. This energy with this spot price, and this over contracting will not affect cash, but we do have the Tariff Flag problem. And that does not, it is not enough for the distributing company. So, we will have negotiation with and now or maybe a loan to cover possible financial debts of our distributing company. I don't know if there is any other questions. CEMIG’s balance sheet as well adjusted, market maintenance. We are still within that target of maintaining the 3,700, and we are maintaining our market. We are still leaders in the market and we have our share guaranteed. And we are already using that the energy of the past auctions, that that will start to come out now in 2022. And we have contracts that are do for energy purchase. And these will come into maintain not only the energy that we purchased, but also with DGT from the generation area, we switched, we changed that energy purchase. We are buying a residue of energy in this rest of the year, but starting next year, we already – we'll be working with our own generation whether, own generation to improve our portfolio – to supplier portfolio or to other clients that are demanding that. So the materials of contracts, we should be covering these contracts with a greater production. Always maintaining the market. There is a question here from Philipp Andradid , which we thank him.
Unidentified Analyst: And can you comment a little bit about the contract signed with developers to improve energy CEMIG’s available energy? Is there a risk of a delay or not delivering an asset? Is there an asset with that it has it startup at risk, because the crisis in delivering solar panels. Out of the 1,200 megawatts that we purchased, of course, some of them will start now in 2022 and 2023.
Unidentified Company Representative: So most of them will start in 2022 from the two, first – from first to first auctions. There was a default, there was a generator that so 1,200 megawatts and they did not fulfill, they did not come out with it. And we have 60 mega and they are requesting a postponement of six months because of this lack of control after the pandemic, there's a lack of control of supplies because of container and ships and room and the ports. So, they are requesting for a six month waiver for a 60 mega and not the other ones have already delivered. We are delivering, we have an office just to follow up all these investments and those that will not come into 2022 or should come in 2023, we are following that up. And all the schedule is being followed with no delay accepted as one that I mentioned though, 20 megawatts said, that's not going to come in. We have already sold. And the 60 megawatts that is requesting for an extension, because the extension period to deliver it because of the logistics problem, then logistics problems, everything else is well controlled. And we have a scale of energy sale. So, we always sell the energy – we always leave 40% of energy as it comes in. So, as we have more energy release more, and that's what we are going to do for this year, not that this is a surplus of energy, but this energy is maintaining the average is 37 megawatts that for our client's portfolio.
Unidentified Analyst: That's great, Dimas, thank you very much.
Unidentified Company Representative: And talking about this topic, we have two questions related to wind energy and renewables energy. One of them from our Marcello. The thank you very much Marcello for your question.
Unidentified Analyst: Do you believe that in the next 10 years, we are going to have a distinct generation market with clean energy sources that could – that could be a major driver for growth and also represent a major cash generation for CEMIG and also another question for what is the company's forecast for investments in wind energy?
Unidentified Company Representative: Well, I will briefly answer the question, and then you can add to it. Well, this is a simple and complex answer. This is what happens, our generating farm. If you check on the auctions, most of them are wind and solar, but these are intermient energies. We’ll still have some time to develop batteries? And that is going to be over a decade. So it's inevitable to have thermal power plants to hold the four. So today the HBPs. You can imagine 3,000 megawatts and then you have a very calm period in the Northeast and generation comes down 30%, 40%. So the 1,000 mega is removed immediately. So what happens today? We have the hydraulic turbines, and it's automatic as it comes down, you just open the flaps and then you generate more energy to cover a possible variation of frequency of voltage today, with the restrictions of solar energy and a hydraulic energy in maintaining reservoirs, and then generating less that we are going to generate less in the next two years. And also this model that the media has imposed on not having HBPs with reservoirs. So now the HBPs are working with little water. So it's in inevitable that we have TPP at the base because the thermal power plant has to be working. So that's the idea of having TPP at the base, and then it, if it is at the base and then wind and solar will come in to save water. And once you have batteries developed with hydrogen, for instance you can maintain it. But still in this decade, we will have to maintain these projections of the GDP and growth and so it's inevitable that we have TPPs running to be able to work with wind and solar plants. In the next decade, yes, we might have technology – competitive technology so that we can store that energy and balance it out over the day. Now I turn the floor to Thadeu. And he is responsible for the investment for Cemig, for increasing the generation capacity.
Thadeu Carneiro da Silva: Good afternoon, everyone. Yes, we have our meet and long-term vision to increase our generation capacity, especially from renewable sources. Today Cemig has a pipeline of over six gig, and out of those two gigawatts are for very much projects to be developed up to 2025, and most of these two giga are from renewable sources, and we are also investing a lot in investment and innovation. And it will go through by green hydrogen, ready from these sources that we are developing. So in the next five, 10 years, we believe that our generating farm will have a very significant increase in our generation sources. And we also have grant concessions for almost 500 megawats in solar energy. We also have our first wind farm or sorry solar farm approved in  and still this year we intend to approve 150 mega of energy as well to be installed in our Três Marias plant, which will become a huge energy generation complex for Cemig. About the development of wind farms, we are developing a lot of them. We have a pipeline that is over two gigawatts, especially in the Northeast, and we are working with the market and studying all the situations. But because of the commodity price going up and there was an significant increase in cost of equipment, and is still then we are working on that and we are analyzing all projects faster.
Operato: Thank you. Thank you, Jim. Thank you, Tadeu. I now would like to turn two questions to Marcelo Sá. Our participation after one of them from Luciano de Paula, he is asking can you comment on the perspective of the divestment plan perspectives? How are the negotiations for possible sale of Santo Antônio and Belo Monte? What are your plans for Aliança de Energia? And the question is from Adolfo Callejo  and his question is, how is Taesa’s auction going?
Maurício Dall'Agnese: That's great. Good afternoon, everyone. Thank you, Luciano and thank you Rodolfo for your questions. As we mentioned, Cemig's strategy since 2017 is a divestment plan. This is still valid plan. It is under execution. We already had two projects carried out this year, the first one from Light, and the other one from Renova. Renova is still – we have to check the applicable proceeding conditions, but this is an ongoing plan. We have other possible opportunities as the questions mentioned, such as Santo Antonio, Belo Monte, Taesa itself. These are opportunities that are still being studied. Right now we do not have any transaction or any binding agreement to share with you, but the company is still working to find business opportunities that are significant, both strategically and economically, and each one will be considered in terms of optimizing the results for the company.
Operator: Thank you, Maurício. I think Eduardo raised his hand. Can we turn the floor to him please? Next question is from Eduardo Soares  from Financial School.
Unidentified Analyst: Dividend distribution will follow the same policy of the company. It is going to be 50% of the EBITDA generation.
Unidentified Company Representative: Yes. That's an easy answer. Yes, Eduardo. We will continue with the same policy. I have just mentioned a correction. This is 50% of the net profit, not of the EBITDA, okay. Yes, that’s right. Yes, and we believe that 50% is the balanced dividend considering the investment program that the company has for the next few years, so maintain the right leverage. We believe that 50% considering our level of results, these are dividend that we believe that would allow a significant yield for our shareholders. So with this policy we believe that we can maintain our leverage at a balanced level and also provide the possibility to cover our investment programs for the next five years. And also because we are talking about the net profit for shareholders, but we have the non-cash as well that would be more than 50% of profit distribution. Yes, that’s right. And I’m sure that the company will be able to do the best investment possible with the remaining share of that. Thank you for your question.
Operator: I’m just checking if we have any further questions. Just one second. There is one question from Gabriel Agostinho. 
Unidentified Analyst: Which are Cemig’s option to deal with increased distributed generation?
Unidentified Company Representative: Gabriel, good afternoon. We have two ways to go. One on the distribution side and another one on the distributed generation. On the side of distribution, our objective is to approve the bill of law that regulates distributed generation, establishing criteria that effectively will allow a better distribution of the subsidies of distributed generation for everyone with lower impact in distribution. So we expect that this deal is approved as soon as possible for distributed generation and itself. And as there is another question about the future generation, obviously this is inevitable and it will keep on growing. Therefore, we need to be there and we need to have a relevant footprint. So we’ll be keeping on investing. And again, we want to be relevant and miniaturize but that’s the state where we have distributed generation. We have almost 18% of the market in Brazil. So on the one side, we have an expectation of a solution at the legislative area regarding this topic and also distributing the charges for all the system and the incentives for distributed generation. And on the other hand, as a business to grow in the business by Cemig SIM.
Operator: Can we open a microphone to hear Fabiola? Next question from Fabiola Gomez. 
Unidentified Analyst: Good afternoon. My question was about the divestment program if there was anything else. Well, if I’m here, can you talk about these two operations of divestment? What was the total for them for semi and the focus has changed because before you were focusing on the leverage, but now you want to maintain the divestment program regarding some assets and why. Why do you want to do that?
Unidentified Company Representative: Marney  do you have the figures by hard? I am not sure if we do, but it might be easier to send you by writing. But the rationale here is to reallocate capital and to concentrate investments in miniaturize. So what we are doing is that we are focusing the company’s investments and distribution transmission and generation in this state of miniaturize. These funds will be directed to make phase of the R$22 billion, which is regarding our investment program for the next years, most of them for distribution 5.5 billion and Thadeu mentioned already about our plan. So it’s distributed in our pipeline and we do have a backlog there. And within our strategic planning, we would like to conclude up to $25 with five gig in distribution area, we have here in the presentation is to 0.5 billion. And the two major oil programs that deserve highlight here, Minas Energy program, more energy with the 200 substations and Minas three phase we are going to make a conversion of 25,000 kilometers of lines in the single phase to three phase lines. But this is capital location into the company’s core leader and what we know how to work with and in the State of Minas Gerais.
Unidentified Analyst: If you allow me another question about Renova, are you concluding, what you needed in terms of divestment in Renova, this was what you planned for Renova?
Unidentified Company Representative: Yes, we will be concluding that with the sale process. We sell all our stocks in the company. Well, just stressing this is an investment that including receivables, this is totally provisioned in our balance sheet. It’s zero, that’s the value in our balance sheet. And as we sold Renova sale is part of our plan since 2017, we are concluding it now and we understand that the benefits regarding the funds will go into the company and also the taxpayers benefits will also refer to the company. And we believe that this should be concluded by the beginning of 2022, and it will depend how the approval schedule will happen.
Unidentified Analyst: Okay. Thank you.
Operator: Next question, Maria Fernando from Red .
Unidentified Analyst: Good afternoon. I have two questions. The first one, CEMIG is already thinking about strategies to refinance the bond of 2024. My second question about the negotiation that you were working on to help distributing companies, can you give us more details? Is the federal administration going to provide any subsidies there? Can you comment on it please?
Reynaldo Passanezi Filho: Well, Maria Fernandez, thank you for your questions about the bonds. Remember in our CEMIG D in June. We talked about our strategy and at the time we had 1.5 billion of open balance, and we believed it was important to pay part of the Eurobonds in the stages. And we would still have 400 million to 500 million to be able to redeem with no type of premium up in the future with no face value. It made sense for us that we would be able to take that in with no greater risks and this period of time from now up to 2023, you have a second movement to reduce that huge wall. So we could use several instruments more issuances a board, or exchange the bond that by switched by an internal debt. So we understand our bond premium is still very high it's around 12% in the secondary market and it is thanks to the company's rating improvement and Eurobond is expensive, and it is more expensive considering the face value that we had issued in the past. So we are going to have to wait a little bit, but in summary, yes, we should have some movement regarding the bonds, just like the first one we waited when the dollar was down, it was 505, and now the dollar is 540. And we see that opportunity in the market for this first movement. And we are paying attention so that we can take a second step in the right moment of 500 million more. I cannot tell you when this is going to happen, because it depends on market conditions. It depends on the FX rate, the hedge price and the premium of our securities in the secondary market, but we are taking attention to it. And about new COVID account, for instance, for distributing companies, the cost of energy purchase is very high. Although we had a reduction of this spot price, the thermal power plants are generating energy to save the reservoirs. And this has a very high cost and distributing companies right now are responsible for paying that even with a red flag at a highest level, the distributing companies have a high bill to pay, and these discussions are happening with Abradee and other agencies that are responsible for the electric sector as well as financial institutions. So we are waiting to see if we are going to have any answer, any results by the end of the fourth quarter or beginning of 2022.
Unidentified Analyst: Thank you very much. If I can add, I would like to know if CEMIG considers, if it were to refinance the bond to issue a green bond, for instance. This has been having high demand and you might be able to reduce costs because I know these are high.
Reynaldo Passanezi Filho: Thank you, Maria Fernanda. Thank you for your question and for the comment. Yes, we are paying attention to all markets opportunities to issue a green bond makes a lot of sense. The company, we are sustainable company. This is our history. We are a 100% of our sources are renewable. We understand that we have an important history here, and we are also analyzing this possibility then, because we understand that is convergent with our strategy and with the company's history. And we are also considering that possibility. Great. Thank you very much.
Operator: If you want to ask a question, feel free to do so that's a new way of working with a call because we believe it's more organized, but if you have any questions, let us know please.  
Reynaldo Passanezi Filho: Very well. If there are no further questions, we thank you very much once again, for your participation and have a great weekend. And if you are in Brazil, have a nice long holiday here, a long weekend.
Operator: CEMIG’s conference call has ended. We thank you very much for your participation and have a nice afternoon.